Operator: Good day, ladies and gentlemen. And thank you for joining this American Resources Corporation First Quarter 2022 conference call. As a reminder, all phone participants are in a listen-only mode, but later you will have the opportunity to ask questions. Also, please be aware today's session is being recorded. And now to get us started with opening remarks and introductions. I'm pleased to turn the floor over to VP of Corporate Finance and Communications. Mr. Mark LaVerghetta. Welcome, sir.
Mark LaVerghetta: Thank you, Jim. Good afternoon, everyone. On behalf of American Resources Corporation, I'd like to welcome everyone to our first quarter of 2022 conference call and business update. We welcome this opportunity to not only provide an update and discuss our accomplishments since our last update, which was only just about six weeks ago. But also on how we've positioned ourselves and where we have our site set as we embark on this exciting time. Also on the call with me today is Mark Jensen, American Resources, Chairman and CEO. Kirk Taylor, our Chief Financial Officer, and Tom Sauve, our President.  Before we kick it off, I'd like to remind everyone of our normal cautionary statement, certain statements discussed on today's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks, uncertainties, and other factors which could cause the actual results to differ materially from the results discussed in the forward-looking statements. When considering forward-looking statements, you should keep in mind the risk factors, uncertainties, and other cautionary statements, which are laid out in our press releases and SEC filings.  We also do not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events, or otherwise. Lastly, we'll be holding a question-and-answer session today following our prepared remarks and for anyone waiting to ask a question, you'll need to dial in by phone to get into queue. Because we recently held our last update call just about six weeks go, we'll try to streamline today's call the best that we can and then get to the question-and-answers. We're going to begin today's call with a few comments from Kirk Taylor, our Chief Financial Officer. Kirk.
Kirk Taylor: Thank you, Mark and thank you Aron for joining us. Again we appreciate everyone's time, interest in America Resources Corporation. The first quarter of 2022 signify the beginning of our production ramp. During one of the most strong carbon and infrastructure markets, you've ever experience. For the quarter, our total revenue of $9.8 million is also -- is just over a 100% sequential increase from our fourth-quarter 24 million -- 2021 revenues of $4.53 million. You're not really comparable to the revenues during the closures of 2020 and 2021.  We marked the beginning of an inflection point for our company. Given the supply disruptions, labor shortages, and supply constraints, our team has forced forward in monetizing the investments we have made over the past year-and-a-half. On our last call, we communicated as majority of our Q1 revenue was generated during the March month when we provided the range of $5.5 million to $6 million of revenues for the month of March. While mining is not completely linear today, we're seeing our Carbon operations produced more consistently in a market where our current realized pricing is very strong.  Also for the first quarter of 2022, we're able to generate adjusted EBITDA of $5.8 million compared to a positive $1.3 million adjusted EBITDA in the fourth quarter 2021, and an adjusted EBITDA loss of 2.8 million in the prior year period. Again, this signifies the beginning of a significant inflection point for our company and our operations. Based on our broader, more consistent production level, and strong pricing environment, as well as the strong team execution, we believe this is a foundation point for future growth in 2022. Our unique platform of assets is in a great position to deliver what we believe is attractive returns of value to all of our shareholders.  This includes our mining assets, which we are currently operating, as well as dozens of idled permits within our portfolio, including the permits for gained complex, which we had idled in 2019, but we've recently leased to new operator which will enable us to further leverage the strong market -- carbon market without expanding our own capital. This also includes our ancillary value created assets, such as our sponsored SPAC, American Acquisition Opportunity, as well as our ownership in Novusterra. I would ask you both to look at those companies’ public documents for future updates. Over the past year, we've been able to eliminate $15.6 million of debt and payables, as well as investing over $23 million of expense development costs, position both our American Carbon and American merge platforms for strong growth in high demand markets.  Both the current infrastructure as well as electrification economies, where we are currently in expecting to maintain certain degree of pricing power in both markets. Our debt balance currently sits at approximately $13.1 million in total dollars of which $2.6 million is equipment financing, $8.9 million is a form of convertible note with our long-term partners, as well as $1.6 million remaining on our outstanding PPP loans. At the end of the quarter, our shares outstanding currently stood at 66.2 million Class A common shares. Again, in the end of quarter, our cash on hand is approximately $5.2 million, allowing us to fully execute in our business plan. I do now turn the call over to Mark LaVerghetta for some comments on our American Rare Earth Division. Mark.
Mark LaVerghetta: Thanks, Kirk. As we've previously stated, our American Rare Earth division represents a very strategic opportunity for us. But we continue to be on a timeline to commence operations at our first critical and Rare Earth element, isolation and purification facility in the coming weeks. I'd like to reiterate and stress the significance of this milestone. As we bring this facility online, we will be the first domestic commercial producer of isolated and purified Rare Earth elements. Additionally, we feel it is strategic and to our advantage to address not only our domestic supply chain needs but also our sustainability needs.  Accordingly, our first production line will be focused on producing isolated and high purity Rare Earth magnet metals such as neodymium praseodymium, and dysprosium from recycled Rare Earth permanent magnets. These metals are needed to produce high efficiency electric motors, such as those used in electric vehicles and wind turbines, as well as other advanced technology and defense applications. We expect to have our second production line operating approximately 60 days following the first, which means we'll be targeting late second quarter, early third quarter of this year.  This train will isolate and purify specific battery material, such as lithium, cobalt, nickel, and manganese from end of life, recycled lithium-ion batteries. So what differentiates us? What differentiates us or technologies and our process from others looking to address this market. By addressing our sustainability needs, we eliminate the need to extract feedstocks from traditional mining methods. While the massive expected demand growth were obviously require mind ores, our process eliminates the environmental impact, the lengthy permitting process, and high costs associated with extraction through mining.  Additionally, our feedstock reserves from end-of-life products is growing and growing in a big way, especially with the advance of the electrification movement and the onset of electric vehicles. The time to establish a low cost, flexible, and environmentally safe platform to address this part of the market is now. And that's exactly what our isolation and purification capability support. Second, our process allows us to separate M purify all of the targeted critical and rare earth elements back to qualities or grades required to be used in the manufacturing of new batteries and magnets.  This is key, as currently we believe no one can recycle battery material back to battery grade qualities in a comprehensive cost-effective, and commercially viable application. We recently announced that we secured the worldwide brights to new provisional patents for producing battery-grade lithium, cobalt, nickel, and manganese. This milestone highlights not only our ability to accomplish this while we widened in deepen our mode. It also showcases our team and partners.  We feel that our amazing partnerships and team are clear differentiators as we prove ourselves, the leader in the final stage, isolation and purification process. And the domestic marketplace using chromatography. We feel we showcase these unique attributes that puts us in a strategically beneficial position to collaborate and partner with other market participants up and down the supply chain, as well as garner support from the federal government given their growing focus in this area. I'd like to now turn it over to Mark Jensen, our Chairman and CEO for some additional comments. Mark.
Mark Jensen: Thanks Mark and thanks everyone for joining. Overall, we continue to see strong demand for the products that we produce. Not only on the met carbon side, but also on the critical and Rare Earth elements space. We've seen strong interest from customers of all of our products and the ability to continue to ramp up our production to achieve this demand, to supply this demand. Global carbon demand for steel production continues to be strong from our perspective, supply remains constrained, and ultimately, we believe it will remain constrained for a number of years, which will help sustain this market at very high levels.  The pricing environment for our high-vol PCI and especially stoker carbon product remains very healthy. Over the course of the last few months our pricing of these products have switched index-based markets and will enable us to take advantage of the current market environment while we continue to expand our production at all of our facilities. As we're closer to bringing our first critical and Rare Earth element isolation purification facility online, we're seeing various parties interested in entering into off-take agreements for our products, both on the magnet side and also on the battery side.  It's a very exciting time for our domestic supply chain beginning to establish itself. And we find ourselves in a unique position, the ability to be a value-added partner in supplier to a variety of more participants. It is clear that the demand for domestically produced products is rapidly materializing and true sustainable products is definitely an area of high importance. The ability to recycle products that are going to financial today and bring them back to magnet and battery grade import of materials is of high importance and will be needed to sustain the growth of the electrified economy.  For American Carbon, our focuses on continuing to ramp up are currently operating complex is right by bringing additional production online. The broader base of our production we saw a merge continues to produce at a more normalized and consistent rate. In any mining business, you have various disruptions, and you have various challenges to overcome. Our team has been able to do that, and we'll continue to be able to do that consistently to grow our production each month from all of our complexes. At PCR, we currently have two super sections, one on walking and one full super section.  And then we're also currently developing a second pillar section. What's unique about how we set this facility up is of extreme importance. One, we took over a bankrupt operations. That operation needed significant help. We needed to make it a safer complex for our employees to work at. We needed to make it more rewarding complex for our employees to work at. And we fought for these employees and continue to fight for these employees. By establishing the mine plant that we put in place.  We're providing a more productive operation for everybody that's going to work at this mine now and for the next 20 to 30 to 40 years because of the mine plant we established. Putting in two pillar sections enables us to pillar back the mine to reduce the out by costs, but also reduce the out by risks that are present at this mine due to the degradation of facilities prior to us acquiring it. We put a substantial amount of capital in place here and we've developed a mine plan that will be the only sustainable mine plant at the operation. At the McCoy Elkhorn Complex, we are now running two continuous miners at our Carnegie 1 mine.  What we're focused on doing is developing this mine to be able to utilize existing infrastructure in the existing cost structure to add that second development section. By doing so, we'll be able to expand our production by roughly a 100% while reducing our -- or increasing our cost by only about 30%. we have most of the equipment present are already to accomplish this goal and we anticipate continuing this development as we speak with a goal of having an operating in the third quarter. What we also have in place over at our Carnegie mines is our Carnegie 2 mine.  We are currently in the development phase of this mine and believe we will have some substantial announcements come out in the very near future about how we're progressing and bringing this mine online in a very short order. The good thing is, we have already invested in majority of the capital needed to develop the Carnegie 2 mine and the Carnegie 1 mine is already generating solid cash flows. We're excited to announce that we put a bonus program in place to reward our employees so that our employee’s interests are fully aligned with our stakeholders and our shareholders.  We're excited to announce that in this first week of announcing this bonus structure, our employees achieved that success so they can get the bonus. So ultimately they can be rewarded as well. And we believe that will position our company for success by rewarding our employees the same way that our shareholders will be rewarding as we generate cash flow. As we bring on Carnegie 2 Mine, we anticipate that same type of structure and also at the Perry County complex where we can reward these employees to this phone is structured? We've been working on expanding and getting these complexes running at their maximum efficiency and maximum optimization. We initially anticipate our Carnegie 2 mine operating with one section with also the goal to expand that into a second section. We anticipate this mine being brought into production over the next 60 days to 90 days, which could add an additional $25 million to $35 million in additional revenue based on producing eight to 10,000 tons of month out of this complex.  Beyond our Carnegie 1 and Carnegie 2 mine, we have a number of other mines in this area, in this region that we can bring back online and fully utilize the McCoy Complex to as maximum potential by utilizing our existing infrastructure, lowering our cost of CApEx, and partnering with our customers to bring these mines online faster. With our current operations, we feel we're in a very strong position. We're a growing provider of carbon products for our customers and are able to fulfill the vast majority of our $110 million sales buck for the 2022 year, while also continuing to expand that production beyond that.  As we continue to execute at our Perry and McCoy Complex as we remain focused on progressing our Wyoming County divisions and having conversations with strategic partners on that complex as well. We continue to work through the process of the $45 million tax exempt bond to the State of West Virginia and that we have been preliminary approved for. And with that issuance, we're excited to showcase how we will position this complex to be the first of its kind and advanced carbon and Rare Earth element processing facility combined with a premium called met carbon production facility with our unique Rare Earth capture and process technology all being present on one location to actually make it a profitable venture from day one.  Additionally, as we recently announced, we've leased out our Dean mining complex showcasing the magnitude of our asset base. The partner that we've leases to is projected and committed to us that they would hit that million tons of production within the first year, generating a minimum of $5 million of additional cash flow to the bottom line of our business, while also offsetting approximately, a $0.5 million of costs. The processing capability that we leased out represents about 3% of our total processing capacity as a company, showing the vastness of our asset base that we can continue to bring online and or lease out with other partners to bring cash flow to the bottom line for our investors, which is the utmost importance for us.  This complex was not considered in our near or immediate term plans, but allows us to generate that additional cash flow by leveraging the strong carbon markets that we're currently seeing right now. We also have a significant other amount of reserves and permanent that we can bring online, as well as processing capabilities to further continue to expand our cash flow. To expand on the American Rare Earth Mine in this case. I'd like to reiterate the importance of the milestones were about 13, I firmly believe will be the first commercial producer of isolated and purified Rare Earth and critical elements to the United States while also introducing a practical and efficient solution to address our sustainable needs.  It will into one new era. For us we're definitely striving to be the first of the market. But also want to provide the best solutions for the domestic need and that is what we're confident in and what our process team and technology bring the this market and showcasing it through the number of conversations that we're having with very strong strategic and collaborative partners that we can expand our -- our operations with both on the upstream and downstream side of our business. As we accomplish these goals, we are highly focused on unlocking value for American Resources.  We've long believed that the value of our extensive asset base, the growth potential, the innovation IP, and the leading position in redefining of how some of our most essential resources are sourced and processed is not being reflected on our current stock price and our current valuation of our companies, especially in the most recent market sell-off and ultimately we plan to address that. We plan to look at opportunities to unlock that value for our shareholders and generate that shareholder value that we believe our shareholders deserve from the efforts and the performance of our company.  As you can see our public filings, we're putting our money where our mouth is, and we'll continue to do so with consistent insider purchases. We'll continue to evaluate any and all options to continue our execution and the best online value for our shareholders, including a possible spin out of parts of our business and our subsidiaries of our business to bring value to a place that we believe is more reflective of what we have in the company. As Kirk stated earlier the first quarter this year saw a 100% quarter-over-quarter increase in revenues.  Our operations are well positioned to continue on a strong path of consistent returns, revenue growth, and profitability with our operations beginning to put cash back onto the balance sheet. We don't foresee us needing to issue additional equity or to raise additional cash. Just to reiterate, as the largest shareholders in American Resources, our management team is focused and committed on maximizing the value for all of our shareholders and we thank you for joining today and we thank you for listening and being a member of our company. We'd like to turn it back over to the moderator for some questions and answers.
Operator: Thank you, gentlemen. And to our audience joining us today over the phones at this time, if you would like  reaching our equipment. Once again, ladies and gentlemen,  if you would like to ask a question we'll pause just for a moment to give everyone a chance to signal. Once again, ladies and gentlemen,  if you do have a question,  we'll hear from Steven Segal at -- Segal at KBB Asset Management. Please go ahead. Your line is open.
Steven Segal: Hi Mark.  So and my question is, it seems like there's market is giving the value at all to open harden the progress you've making every year. And I know you said mentioned about the spending of the -- that the but is there any real plan for that to separate the companies this year?
Mark Jensen: Yes. I appreciate you joining. Yes. I believe there is. One, we've had numerous conversations with many institutional investors that has stated that it's not -- that they don't require us to separate the companies, but they believe that it would be highly beneficial if we did. And there's people that are looking to invest in the Rare Earth critical elements side of the business that may not be looking to invest and into the met carbon side of the business. So we are actively working on a plan and evaluating a plan to unlock that value and separate the company into two separate public companies of which all of our investors will benefit from that. So I would also position our Rare Earth and critical elements side of the business to further expand through collaborative partnerships on both the magnet and the motor side of what we're doing, as well as, on the battery upstream and downstream side of the business. So it's something that as shareholders ourselves, we believe we're not getting value for, and we are looking to put in place very quickly a plan to enable that to happen.
Steven Segal: Okay. Great. Thank you.
Mark Jensen: So thank you.
Operator:  We'll hear next from Michael Samuels at .
Michael Samuels: Hey Mark congratulations again on a good quarter I just had two quick questions. Do you think that the Rare plant will be up by the end of June? Did I think about you said or was it the third quarter that we're looking at? That was the first question. The second question would be, can you give us maybe like an idea of what you're looking for revenue-wise off of the coal in the next -- in the quarter going forward? Thanks.
Mark Jensen: Thanks Mike. We do. We believe that and are confident that our initial production train will be operating in the month of June in Noblesville, Indiana and excited about the progress side. Jeff Peterson and Bill Smith and J and the team there and Dave had crushed it. They've done a phenomenal job putting this plan into execution phase and getting the facility in a position to scale and grow. And so I'm excited about the progress and excited about showcasing that in the very near future. In the -- so if you look at our last quarter, we shot -- we obviously we went from right around what, $4 million over the quarter up to nine.  We -- we anticipate seeing very similar type growth of the business and we'll continue to execute on that growth, I mean -- and then going into the third quarter very similarly, as we talked about Carnegie 2 and then also the expansion that all the Carnegie -- Carnegie 1 and the Perry County will enable us to continue that revenue growth with basically very little capex, given we've already spent the money and we already have the equipment in place to be able to do that. So we -- we do anticipate having a very similar type growth of -- of revenue growth that we can continue to expand upon the business.
Michael Samuels: Are you -- you had said you did roughly, $6 million on March. So I'm presuming if we can continue at that rate, we'd be doing probably $18 million this quarter.
Mark Jensen: We are not given exact revenue guidance. But as a -- we think we'll have strong growth, and then, I mean, it will be some volatility depending on when trains go out and stuff to that nature. I mean, as we continue, that volatility goes away as we continue to expand, given it's timing of shipments and stuff to that nature. And as as we expand the mines, there's always disruptions and small. And then there's always positives as well that we actually get currently. So it's a -- there'll be a little bit of volatility as we continue to grow, but we're going to see nice steady growth and cash for the, that's putting cash back on to the bottom line.
Michael Samuels: Right. One more question. Do you -- how do you -- are you seeing the market slowing down at all right now in the coal side or let me obviously with the infrastructure bill coming up, you would think it would pick up again.
Mark Jensen: We're not seeing any slowdown from customers. I mean, at the end of day, what people to realize is that the stock market is not always indicative of what people are selling product for. Given there's not always transactions that are being done and an extreme volatility, demand-wise that we can produce everything, we can sell everything we produce are probably five times over. There's still a huge amount of demand not only here domestically, but also overseas. And at the end of the day will continue to as we ramp up, we'll be able to take advantage of that, what's really nice event Like at our Carnegie 1 mine, we just switched index-based pricing from a legacy contract.  So we went from selling in the first quarter between a 100 and roughly 18 and then ramps up to a 180. Now we're probably close to 300. And that will be reflected in this coming quarter. So we're starting to see that ramp up of growth because we're moving onto our better contracts. And I think you'll continue to see that. But ultimately, even new Carnegie 2 mines that we're bringing online going and then nice contracting, we're able to finally take advantage of that market, and we're seeing a good demand. I don't see us slowing down.
Michael Samuels: Well, thanks again and again. Great quarter.
Mark Jensen: Awesome. Thank you.
Operator: Our next question comes from Heiko Ihle at H.C. Wainwright.
Heiko Ihle: Hey guys, thanks for taking my questions. I hope you can hear me okay.
Mark Jensen: Yeah, I can.
Heiko Ihle: Wonderful. Let's talk a little bit about these 45 million in West Virginia tax exempt bonds that you got there working on. Can you provide some color on the timing of the close and can you just confirm that there aren't any steps, or approvals, or anything like that along those lines that are so required please?
Mark Jensen: As we announced, we got preliminary approved by the state of West Virginia, Citigroup's underwriting the deal. We are working with the engineering firm as we speak, that just goes works gets through that process. We're also in conversations with some strategic partners in that area, including customers that are very interested in that quality of coal. That coal is the highest quality of met carbon you can, you can source in the, actually in the world at the mid-vol met carbon, which pricing is extremely strong for right now. The hurdles are just second boxes is going through the Engineering report, answering the questions on the engineering side, we are entertaining some very strong strategic alliances in the meantime, that could come to fruition.  That would help expedite the ramp up of the operation as well and so those are conversations we're actively having out to speak. But it's to us, we believe it's pretty standard of what we're going through right now to get wrapped up. We've always anticipated this would be an end of year type development as we start to bring it online and start to ramp it up and we'll stick with that. We have a lot of growth coming in place and a lot of execution that we anticipate having over the next couple of quarters. First from the core operations today. But we -- we'll start developing on West Virginia and also things that can pull it forward a little bit beyond that, but we've always stated be an end of year type development.
Heiko Ihle: All right. You're current specialty metallurgical carbon backlog is both a $110 million, I mean obviously that's a huge number. At what point should we expect you guys to just start tightening pricing a little bit? I mean, given that inventory has many, many quarters of sales, there's got to be a point where that starts making sense a little.
Mark Jensen: Sorry, clarify the start, tightening our pricing on what we're selling?
Heiko Ihle: Yeah.
Mark Jensen: I mean, we're starting to see -- I mean, as I said, we're starting to see a very strong ramp up of revenue from the -- of what we're selling our product for. So we did have some contracts that we -- and we're honoring our contacts and we'll continue to honor our existing contracts, but at the McCoy Complex specifically, we're starting to take advantage of the current market environment where we've rolled off our legacy contracts and now taking advantage of the index-based stock market, where we sell at a slight discount to the high -- the mid-vol, high-vol MEK index and on the East Coast minus transportation costs.  But it's a -- we're starting to take advantage of that, as we speak and I don't -- I mean, seeing it coming down, I don't anticipate from where we're selling right now. We strong demand, I mean. And at the end of the day there's -- I would say producers are struggling, especially new producers that are coming online are struggling to ramp up and are struggling to build up the current supply needs. And we'll be able to continue to take advantage of that. What's unique about our growth as we don't need to hire a lot of people to expand the mine. We are adding additional production shift, not an entire additional crew.
Heiko Ihle: That makes sense.
Mark Jensen: That answers your question?
Heiko Ihle: It does. And then lastly, just a clarification and then let me just put a quote from your release in there. Significant increase in carbon demand and price realization being seen as companies scales operations and on track this March to realize operating profit. The March numbers are included in the financials that you put out. So are you saying with that sentence that that should be every month going forward you expect to see operating profits, or what exactly -- am I reading something into nothing here?
Mark Jensen: No, I think you're reading something into something. We basically -- we break even at about $3.5 million a quarter of revenue. So obviously, at -- now, if not a 100% of it, there's some variable costs in there but not a lot. And so as we continue to ramp up our production, and as we continue to generate -- I mean, in the March quarter, that was a very profitable quarter for us, and we anticipate being profitable thereafter. So the -- what we -- obviously, from the entire -- the first couple of months were slower. January is a very slow start. Start ramping up in February and then March, we had a good month.  But we anticipate continuing to scale that and continue to grow that as we get these next couple of sections running at these other mine, it gets extremely attracted and it's very quickly. But also say about our profitability that's really unique, especially out of the Perry complex and then out of the mucky complex, pillar -- pillaring puts you in a more advantageous situation, but from a cost structure perspective, and also at that particular location, it puts our men in a safer position as we get ready the out by works. But what it also -- what's really unique right now as you're seeing a huge supplies and parts problem in the industry in the fall. I mean, everything is going up in price inflation. Anybody says inflation, not real, is not out there buying goods and services or going to grocery source.  It's very real in the mining industry. Finding waterline, finding roof poles, finding supply is the cost of those are going up rapidly. What's really unique about our mine plants is it puts it in a more sustainable environment for a number of years because we're not having to rely on the parking supply as much based on the mine plants that we developed and it puts it in a better position for our workforce. So we're kind of taking this is the plan from day one when we acquired these complexes and we're fully now at the point where we're executing upon them. And it puts us in a really nice position for the next couple of years not only for us, but also for our employees to start getting them bonuses and making making sure they're rewarded the same way our shareholders will be rewarded from the cash flow that we're generating.
Heiko Ihle: Very helpful Thank you all and stay safe.
Mark Jensen: Thank you.
Operator:  We'll here next from Phil Cordell at Cordell Enterprise. Hello, Mr. Cordell, your line is open. Is there any chance or you may have us on mute?
Phil Cordell: I did. Thank you. Can you hear me now?
Operator: Yes, we can.
Phil Cordell: Alright. Thank you. Mark thank you for your time and sharing all this and congratulations on all the progress. You had talked about helping the -- doing some things to help the share price reflect that the increasing value that you have put in and that you're pulling out and so on. I had seen a couple of plan. I know you are doing insider purchases regularly and so on and obviously that helps. I had seen some chatter about whether you guys were considering some share buyback program of some type. Is that something -- is that just noise, or is that something you're thinking of? Thank you.
Mark Jensen: Yes. I appreciate it, Phil. I mean, one we right now we're focused on putting cash back on the balance -- on the balance sheet. I mean, obviously, we're not worried about our markets, but obviously the world in general is going to volatility and we think it's prudent to build up our cash balance. Our deck continues to go down and so we're in a really good position there from a balance sheet perspective. In terms of using that cash to buy back stock, probably, I wouldn't anticipate it over the next few quarters as we continue to put cash back on the balance sheet. But then after that, if we're still not--if it's not being reflected in the market I definitely think that would be an option. But right now. It’s focused on growth.  And with the Rare Earth business and the customer conversations we're having, the ability to expand that business and then -- once we have mark the value of the both businesses, spin them off, I think that could be a potential as well at that point. Given the carbon side of the business will be a cash flow generator in a very big way. And actually, I think the Rare Earth business and going into the next year could be a nice cash flow generator based on the conversations we're having. But I think it'd be -- I think it's prudent for us as a company and for our shareholders from a risk perspective, to continue to build up that cash balance, and then, honestly, maybe we can take advantage of opportunity to continue to grow the business through organic expansion.
Phil Cordell: Thank you. Yes. Sounds good.
Mark Jensen: Thank you.
Phil Cordell: Sounds good. Thanks.
Operator: At this time, we have no further questions from our audience today. Mr. Jensen, I will turn it back to you for any additional or closing remarks.
Mark Jensen: I want to say thank you to everybody that joined today. I think we're at a really unique position as a company. We have a very -- a business that has very strong markets for both -- all of the products that we produce. On the metal carbon side to the rare-earth and critical elements side of the business for both magnets and batteries. As a team, we don't sit patiently waiting for things that come to us. We're out there seeking them out, including going in visiting our upstream and downstream partners as we continue to get ready to ramp up this -- the rare-earth and critical on the side of our business, as well as planning to put our mining operations in the most secure position to continue to drive cash flow for all of our investors.  We don't believe we're being fully valued today. We believe we're highly undervalued based on our peers. We're focused on execution and we believe that continued execution from our team will drive that value and will help us bring in some of these institutional investors that have been actively reaching out to us over the last few months. What we're focused on is driving value for our shareholders of which the management team, as the founders of this business, being some of the largest shareholders. We appreciate all your time. We appreciate your interest in our company, and we look forward to the next few quarters coming about. Thank you.
Operator: Ladies and gentlemen, this does conclude today's American Resources Corporation First Quarter 2022 Conference Call. You may now disconnect your lines and we hope that you enjoy the rest of your day.